Operator: Ladies and gentlemen, thank you for standing by. All participants are at present in listen-only mode. Welcome to today's conference call to discuss Nano Dimension's 2022 Second Quarter Results. On the call with us today are Yoav Stern, CEO; and Yael Sandler, CFO. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements and the Safe Harbor statement outlined in today's earnings press release also pertains to this call. If you have not received a copy of the press release, please view it in the Investor Relations section of the company's website. Yoav will begin the call with a business update followed by a question-and-answer session, at which time Yael answer questions regarding the second quarter 2022 financial results. As a reminder, this conference is being recorded, September 1, 2022. I would now like to hand the call to Mr. Yoav Stern. Mr. Stern, would you like to begin?
Yoav Stern: Thank you very much, Johnny, and good day to everybody. Just to add, we have with us today also Julien Lederman, which is – our Head of Corporate Development and our Financial Marketing Department, which is only lately established in order to reinforce and improve the connection with all you guys, the shareholders. So welcome, Julien as well. We'll be talking to him. So we had a very good quarter. In spite of the situation in the market, specifically in Europe, with the issues of the war in Ukraine, which affected especially Central Europe purchasing rates, where Germany countries around it kind of initially flows a little bit. But in spite of that, our – all our acquisitions and our internal growth and organic growth proved to be going well. The go-to-market systems that we established and I'm not going to read, of course, as traditionally, we done the whole report, and I'm assuming you have read it. And if you did, then you have questions for me, but – the highlights is the $11.1 million revenue is 12 times revenue of the same quarter last year. And we expect that, as the crisis with the supply chain of components is hopefully easing up – will ease up, we will even grow faster organically. The second thing we are quite happy about is, while we are trying to accelerate the R&D, which the indication thereof is spending more money, we managed to be much lower in a cash burn rate than we originally planned. So we are maintaining around $40 million per half year of cash burn rate, double the debt a little bit more for the year. And in a funny way, we are hoping actually to accelerate, because the burn rate in cash is mostly to accelerate the R&D and bring the products, the new products into market. So that's good news. The gross margins, as we spoke last time is a combination, a 36 of high gross margins of 65% in new machines in the manufacturing, electronics and additive manufacturing, metal and ceramics, and lower gross margins in additive surface-mount technology, which is traditionally a 35% gross margin -- 32% gross margin. So, the mixture and the average gross margin is a combination of both. We don't have a service business like other people, which is reducing the gross margins even more. So, that's basically giving you the outline of our source of revenue and then source of cash going down below the gross margin. We have spent this quarter, $12.9 million in R&D, which -- of course, by GAAP and IFRS is expense, but we also consider it an investment. The result of the R&D are showing amazing results and advancement toward the new products, which will go into beta towards end of this year and then next year will be released. And I'm kind of hoping -- it's not great to hope that the market will stay as erratic and as low as it is the public market. But assuming it is, what we see beyond the operations of the company is the fact that multiples and values are lower, and the activity in M&A is accelerating, which is very exciting, because companies, I held back on for two years now, and we have looked at 330 companies. I'm now back -- now they're talking to me, now the multiples are right or at least righter or better unreasonable. So we expect to show some results there, some growth as projected or as expected, I should say, is by now more practically available to us, because I'm not going to have to overpay which are fees to do in the past. Of course, we did an acquisition as well this quarter. I think we closed the month a little bit more ago, a very exciting acquisition in Euro Poland, one of the most leading technology in metal and ceramic printing, a small company that was kind of hidden from the visual sight of both analysts and the competition, because it was a subsidiary of a very large American company, which was in trouble for many years. And through ourselves, we found them, and we believe there will be a very fast -- a core for a very fast growth of our Additive Manufacturing business. So bottom line, as we proceed and as we expand, you can look at us today, we’re traditionally -- we started from additive manufacturing electronics. Our growth strategy, both organically in the development and R&D and to acquisition, is we expand from electronics from additive manufacturing electronics into electronics and on the left side, call it and from additive manufacturing electronics into other additive manufacturing on the right side. So, you're going to own a company that is expensive as much as its ability to manufacture machines in additive manufacturing in general. It's already happening, and in other digital machines for electronics that add value as they are being part of the network of machines that we are building led by the artificial intelligence and deep learning and machine learning software that we have. On that area of machine learning and software and deep learning, from dozens of interviews and due diligence that we did, I can tell you, ladies and gentlemen, we are ahead of everybody, and it's just a matter of time until this robotic brand, as I pointed, is going to be in most of our machines plus in the networking between the machines. So it becomes, call it, if you wish, manufacturing, cloud manufacturing, if you wish. That is kind of wrapping up both where we are this quarter and connecting it to where we have been coming from and where we're going. I will be more than happy, of course, now to hear your questions and refer much more to issues that are of interest to you today in this call, please?
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] The first question is from Yoram Foreman [ph]. Please go ahead.
Unidentified Analyst: Good morning or good evening, Yoav.
Yoav Stern: Good morning.
Unidentified Analyst: I have a very simple question. We are probably going into recession if we are not in a recession. And at some point in the near, I hope in the near future, the AI will be integrated in the machine. And my question is, do you consider opening factories in, maybe one in Europe, one in the U.S., maybe even in Asia that will supply the final product to the final customer and not just doing prototypes. Now to capital group in the time of recession, not a very desirable expense…?
Yoav Stern: The answer is no.
Unidentified Analyst: Do you want to explain why?
Yoav Stern: Because I believe it's not the right strategy. I believe that the service business is a business where you sub-contract manufacturing, be it AM or others, your gross margins are much lower. You cannot afford to do R&D and to develop the technologies you have because your business model is based on servicing your gross margin between 28% to 35%, 38% will not let you continue the R&D. You lose your competitive edge. Your competitive edge has to be based on completely different variables than a technology business that is based on innovation and effective R&D, and it doesn't ship.
Unidentified Analyst: But don't you consider you have a lot of cash in the company. And so you can still continue R&D with the cash you have, but don't you consider the fact that you're not going to be able to sell the final products that you have now.
Yoav Stern: I am able to sell the product. And as you see, our revenue is growing -- grow from $5 million a year now to grow to $50 million or rate of $40 million to $50 million. So we don't see a problem selling our products, absolutely not. B, we don't spend all the money we have on R&D, far from that. I'm going to just spend it partly, and we are spending it on acquisition. So the answer is no, we're not going to do it. It's not the plan right now.
Unidentified Analyst: Okay. Thank you.
Yoav Stern: Thank you.
Operator: The next question is from [David Shapiro] [ph]. Please go ahead.
Unidentified Analyst: Good morning. And I have a question for you specifically about the stock price, buybacks and the investment that was made in SSYS, if you could please speak to those issues?
Yoav Stern: What you want to know about it? What's the question?
Unidentified Analyst: Why are we not doing a buyback?
Yoav Stern: Who says we're not doing a buyback.
Unidentified Analyst: Are we doing a buyback?
Yoav Stern: We just got the approval for a buyback a few days ago. So, we got approval for a buyback for the next 12 months. And during the next 12 months, which started only 10 days ago, we are going to consider a buyback, absolutely.
Unidentified Analyst: So when we say we're going to consider it, the concern is that the market is not anticipating that that's going to happen where the stock price would not be at the price that it is today.
Yoav Stern: Did you look at the stock price of the 13 other LED manufacturing companies since the beginning of this year?
Unidentified Analyst: I'm specifically looking at our company.
Yoav Stern: Okay. So if you look at our company, at any company, you have to compare it towards the market and how it behaves. Our stock behave better than 9 to 10 other stocks in energy manufacturing. And short answer to your question, we'll consider buying stocks now that we have the approval, and we'll think about it. The Board will make a decision in the next 12 months on an ongoing basis. That was your first question. What was the second one, please?
Unidentified Analyst: The investment that was made in SSYS and as an investor in NNDM, one has to wonder, why are we spending money on another company, rather than buying our own shares.
Yoav Stern: This is not one against the other, first of all, and we invest -- we're spending money in other companies, not only in SSYS, we bought five other companies. The investment in SSYS was a strategy as is described in the news release, explained exactly why we're investing. And if you've read the news release, I don't want to repeat it and take time from other people. It's explain why a strategic investment is important, why the shareholders in our shareholders, you and me, will gain from that and what we intend to do with it moving forward. So, I don't want to repeat it, because it will take time from everybody else. What was the third question?
Unidentified Analyst: Do you anticipate additional investments in SSYS?
Yoav Stern: As I said in the news release, again, the last sentence in the newer lease speaks exactly to that. So, one of the things that I really do and is out of appreciation for people like you and other shareholders, is I write everything I intend to do in the new release. So your question is answered by the last sentence in the last news release regarding SSYS and I’ll repeat it now. We will, during the next short and medium while, buy wholesale shares based on situation in the market and other considerations. I'm speaking about sales of strategies. Thank you very much.
Operator: The next question is from Rich Brun [ph]. Please go ahead.
Unidentified Analyst: Hello. Good morning, Yoav
Yoav Stern: Good morning.
Unidentified Analyst: Good morning. Thank you for taking my call. Just a few questions. Are we still in negotiations with the Austrian acquisition?
Yoav Stern: Which one, sorry?
Unidentified Analyst: I know we were talking about in the previous conference call about acquisition of Austria. Are we still in negotiations there or no?
Yoav Stern: I did not speak in the last conference call about an acquisition in Austria.
Unidentified Analyst: Not the last one, a previous conference call.
Yoav Stern: I did not speak about in any conference call about specific acquisition that I said that is happening. We've been looking at acquisitions in Germany, in Austria, in the UK, in Switzerland, in Netherlands and in the United States. So I don't really know what you're talking about.
Unidentified Analyst: Okay. So we're not in any negotiations or any company in Austria?
Yoav Stern: I just said that we are looking at companies in United States, Netherlands, UK, Germany, Austria and Switzerland, actually in Italy as well.
Unidentified Analyst: Okay. Can you kind of elaborate a little bit on the modification to the GIS deal?
Yoav Stern: I'm sorry, what do you mean by modifications?
Unidentified Analyst: I don't know there was a press release that was sent out in regards to GIS, something with -- I don't know if there was any type of performance metric related information…
Yoav Stern: We always see what you're saying. No, I know I'm saying. Now what happened is the CEO of GIS, ex-CEO, which joined us, took a very senior position in our management Mr. Nick Geddes. And since we wanted him to devote time not only to an earnout that we did, we basically purchased out the earnout and he had a certain earnout that it could reach over the next year, and he gave it up, and we took discounted price on this earnout, which we paid him and earnout disappeared, so we don't have to pay it in the future. And now he's not only running GIS, actually, there he is number two, is running GIS is part of the senior manager of the company, and he took a position of the Senior Chief Technology Officer.
Unidentified Analyst: Okay. So the bill actually worked out more favorable to NNDM shareholders?
Yoav Stern: Yes, because we paid less.
Unidentified Analyst: Okay. I just want to clear that up. Are you still observing any challenges, hiring, like quality engineers, deep learning personnel?
Yoav Stern: It's a little bit better than it was before because of the situation in the market and because the – both in United States and in Israel and actually in Europe as well, there was started to be a little bit of layoffs in other high tech companies. So it's a little bit better, but it's not a total change of direction.
Unidentified Analyst: Okay. And are we looking to solve that through an acquisition maybe?
A – Yoav Stern: Yes. Part of the things we are looking at in acquisitions, I shouldn't say part of the things maybe one of the main things is the people and the quality of the people that are in the companies we're looking at, and it's definitely a major advantage. Until now, all the companies we acquired, all the people stayed -- say, all the management, all the R&D people maybe one here or one there, but -- from what I remember, the people who are placed are not in R&D, not engineers. And we are very, very happy with the quality of the personnel that we are now including. We are now 500 people, and we've been -- to remind you, two years ago, we've been 95. So down the long answer to your question is yes.
Q – Unidentified Analyst: Okay. Would it be out of bounds to say that a potential acquisition would be specifically for deep learning to kind of support what DeepCube is doing?
A – Yoav Stern: No. On that one, we feel we have a very, very, very good team, world-class team in-house. We managed to grow it from 24 when we have acquired them to 20 -- sorry, to above 30, Yael, we have above 30 by now, right?
A – Yael Sandler: Yes, in the DeepCube, yes
A – Yoav Stern: Yes. And while we are looking to hire more, we're not going to spend money on acquisition and pay premiums for that. We have it in-house -- the product the technology is working. We don't tend to do it.
Q – Unidentified Analyst: Okay. So you believe that the product we have right now is superior to whatever in the market right now
A – Yoav Stern: Yes The product or the technology is working -- was working actually when we acquired it. But by now, it's already in the process of being adopted to additive manufacturing, both as manufacturing and electronics and now into additive manufacturing machines for -- of ceramics and metal, and we feel we are in a good position there.
Q – Unidentified Analyst: Okay. And just my last question. I know in the previous conference call, you talked about reaching out to companies that were a little difficult to negotiate. Have you seen any rebalancing in the valuation? And I believe those
A – Yoav Stern: Yes
Q – Unidentified Analyst: Has anything materialized into something meaningful?
A – Yoav Stern: The answer is yes. We are seeing -- I don't want to call it rebalance, but the ask in the negotiations on the other side of the sellers is lower and more reasonable. And as I mentioned in the opening statements, we are hopeful that now we'll advance on that field very fast. Even though between us, we've done five, six acquisitions over a year and quarter, so it's average almost an acquisition, a quarter. And I don't believe in acquisitions that you don't give it enough time also to integrate them properly to get the synergies out. And if you start to acquire too fast, you end up failing in the implementation. So to be really, really careful. However, and you're right, we are hoping very, very much, and I'm seeing it that multiples are lower, the asks are lower and people are more reasonable in negotiations. So we'll hopefully be able to get the acquisitions we are interested in easier.
Q – Unidentified Analyst: All right. Can I follow that up with one more question, please, if no one minds
A – Yoav Stern: Go ahead, please. Go ahead, please. 
Q – Unidentified Analyst: Can you just -- I don't know if you can disclose how many proprietary materials do we have in the pipeline currently that shows some significant progress?
Yoav Stern: We have proprietary materials in the area of additive manufacturing electronics between three to six. We have additive materials in the area of advanced micro polymer printing about three. And we have new materials in the area of ceramics and metal about two or three.
Unidentified Analyst: Okay. And those are just ones available or those are in the pipeline?
Yoav Stern: I would say that – it either available, or will be available in the pipeline, but in a very short period of time, I'm not talking a year or two years, I'm talking months.
Unidentified Analyst: Okay. All right. Thank you for your time.
Yoav Stern: Thank you very much for your questions.
Unidentified Analyst: All right.
Operator: The next question is from David Shapiro. Please go ahead.
Unidentified Analyst: Yeah, I wanted to focus in a little bit more on the share price. Your perspective maybe that we're doing just fine relative to other companies, but many of us that have been invested in this company for a long time are not too pleased with what's happened, particularly the recent fall from the $3.50 range. So I'd like to explore that a little bit more with you and specifically, have you explain initiatives that you and the company are taking to increase the share price, particularly as it relates to analyst coverage, which is something that you've discussed on previous calls?
Yoav Stern: We are discussing analysts hopefully, picking up our companies for reporting is very, very important. We hired a special outside firm that expertise is exactly in depth. The firm itself is also going to initiate analyst reports themselves and recruit analyst support from the outside. We're paying them based on their work on a monthly basis, and we have a project with them, with a plan that we designed for the next foreseeable future, and we are hopeful that this will be effective. And you're right, it's very, very important. The share price of the company is gyrating together with all the other companies that are in our field. So while you're unhappy, I'm unhappy as well. I'm a shareholder like you, all my upside is there. I don't have stock options, I meet personally. So the difference between you and me, may be is I know what is coming up, and I know that, the performance of the companies are so good and expected to be. As such, that the share price will respond. And you're absolutely right, analysts report is very important. In addition to that, as part of this program that, I'm telling you, we now intend that Corona finally cleared the way to start to participate in face-to-face conferences of investment banks and other organizations that are inviting us to come and present what we do. This stopped for two years. So over these two years, the only thing I could do is do Zoom calls. And of course, it's not the same you realize that. So in the next two quarters and more than that, but the next two quarters are already on the horizon, we intend to do a lot of exposure to the company in this both investors conferences and industry conferences, which we think will help as well. And most important than everything else, we are running the business well and improving the results.
Unidentified Analyst: And those are wonderful things, and I commend you and the company for the progress that you're making.
Yoav Stern: Thank you.
Unidentified Analyst: The elephant in the room is the share buyback. And I'm really concerned as an investor in the company that the responses about we're considering and we may in the future and all of that, that is not sending a signal to future investors or to the shorts that are on this company that there is going to be something that's going to happen that will be a concrete catalyst to move the stock price up.
Yoav Stern: I hear your concern, but there's no question there.
Unidentified Analyst: Thank you for answering the questions.
Yoav Stern: Thank you very much.
Operator: The next question is from Devin Doral [ph]. Please go ahead.
Unidentified Analyst: Hi, all. How is it going?
Yoav Stern: Very well. Thank you.
Unidentified Analyst: Yeah. I'm calling because I have a few questions about R&D. A little over a year ago, you had stated that you cannot time nano. And over the course of time, there's going to be a bunch of inflection points, specifically circulating around R&D that are going to inflect the price. You mentioned to a previous caller that you guys have hired 500 employees. You also mentioned that…
Yoav Stern: Just one second. Just one second. I never said there's going to be inflection points that are going to affect the price. I said they're going to be inflection points in R&D that are going to affect the performance of our business.
Unidentified Analyst: Well, you did. You said, there's going to be inflection points that are going to make the price go up and you won't be able to catch it specifically.
Yoav Stern: I did not say that the inflection points may cause the price to go up because inflection points are affecting the business. The perception of the market may cause the price to go up.
Unidentified Analyst: Okay. Well, so my question to you is before when all the money was being made, we were hearing things about R&D and news reports all the time. After the money was finally secured, it seems as if we only have heard information about acquisitions and complete balances going on with R&D. So I'm just curious, has there been any kind of breakthroughs of R&D? Is there anything that we can look forward to coming up, or just kind of more so how come so much silence on that end?
Yoav Stern: First of all, we -- you have heard news about R&D. We came up with new products, which we announced in R&D and you don't -- you realize that certain -- any time that something new comes up, we announced it and we have no reason not to announce it. And whenever we didn't announce means it didn't happen. So we will continue and will announce once we have information that we think we can announce and we don't risk competitive information that may come in increasing the sales or the revenue. So when there will be news, we'll be more even that will cause things to jump up and you will be late to come into the share. So I did not say that if I announce, it will cause the share to go up. How can I tell you that the share will go up by me saying something? The perception of the market may be that when we announce and something positive happens, more people will buy. And if it will happen, then you'll see it.
Unidentified Analyst: Okay. Yeah. It just seems as if there hasn't been any, kind of, investor interaction other than a few -- you had said on one of the previous calls last year actually that, you were going to set up more conference calls, a caller had called in and said that you said, yeah, that will be fine. If anything, we feel like the company has gotten more silence over the last half year.
Yoav Stern: Sir, we don't have less conference call than last year. And if you want me to set the conference call, as you speak with me on this conference call, you’ll get all the information you want and you ask and the next conference call it will be either when the next quarter comes up, or if we have an event, I can't set up a conference call with nothing happening for what.
Unidentified Analyst: And one last question. You had previously said on the last call that the analysts should consider covering you guys, because in a few quarters you are going to be industry leaders. Now when we talk about the share price, you say that -- we -- look at the other company…?
Yoav Stern: I never said that in a few quarters, we'll be industry leaders.
Unidentified Analyst: I think we're all just having miscommunication with your calls, because that is what I heard from you…
Yoav Stern: When you say we all, you are just one person. So I never said that in few quarters, we’ll be industry leaders ever.
Unidentified Analyst: Do you feel like the stock price has any room to move differently from the other additive manufacturing companies, or do you feel as if -- as long as they stay stagnant, Nano Dimension will stay stagnant?
Yoav Stern: I feel that as long as the market segment is stagnant, the ability of any share either us or others to penetrate through that and be dramatically different is much more difficult.
Unidentified Analyst: Yes, because we -- I'll speak for myself. I know the buyback of $100 million in a stock buyback would do wonders for this company with room to raise again later on in the future. It just feels as if retail was, kind of, leaned on a lot when raising all the money. And now we've gotten to this point and you speak a lot about how you're very focused on institutional investors and you're not here to make money from retail, but it just seems like no bonus being…
Yoav Stern: I never said that I'm not here to make money from retail totally ever, never.
Unidentified Analyst: Thank you for your time, Yoav.
Yoav Stern: Thank you.
Operator: The next question is from Brett Reiss of Janney Montgomery Scott. Please go ahead.
Brett Reiss: Hi, Mr. Stern.
Yoav Stern: Hi. How are you doing?
Brett Reiss: Good, good. Could you just give us some background and color the -- do the process in place at the company to do the due diligence on the potential acquisitions you've said, you're looking at over 300 companies…?
Yoav Stern: No, no, no. I said we looked at over 320 companies, out of which we dove deeper Actually, Julien, can you -- do you remember the numbers? We just spoke about it. Can you quote them?
Julien Lederman: Yes, we've looked at 350 companies in one capacity or another. -- we've looked at, I would say, of those 350, about 120 in some type of, call it, multi-engagement, several meetings with them. And we've done in-depth due diligence, site visits, extensive analysis into 30 of those companies and from that we've acquired five.
Brett Reiss: Okay. But the question is who is the way? Could you describe it and people, what are their backgrounds and when you've focused on something, do you Mr. Stern unilaterally call the shots on to buy or not buy or at a certain threshold level, it's submitted to the Board for their reflection and approval. So what's the process in place at the company
A – Yoav Stern: Let’s talk, every acquisition doesn't matter what the size is brought up to the Board. No acquisition is done without Board approval, point number one. Point number two is about five people in the company led by Chief Head of M&A, which is an ex-CEO of two companies, one $500 million company public and another startup company that he was the CEO. He's 62 years old. He spent 23 years with the largest supplier of optical inspection for the PCB industry, ran all of the commercial divisions, did M&A in his previous companies as well. He is the head of the team. Of course, beside me, I'm participating. Under him, there's two or three analysts who were taken from Goldman Sachs, from Lehman Brothers, from Amazon, which is involved in the due diligence. In addition to that, our President, which is ex-CEO of three companies, 63 years old, have done about 15 to 20 acquisitions in his life, is a whole intensely in all the due diligence. In addition to that, when we do the diligence and we need to do the diligence of both the technology, the R&D, the operations, the sales and all the facets of the companies we're looking at. We bring in people that are in the company, in the fields where we are looking at. So Dr. Eli David, one of the five world leaders in Official Intelligence and the Head Chief Technology Officer of AI is participating in due diligence on the algorithms and the machine learning side. Head of Materials, PhD is looking doing R&D, if it's material issues. Our Head of new technologies is doing it on new technologies in machine and robotics et cetera, et cetera, are similar to that software people and electronic engineers. So if you look at the total number of people that are involved, once you get to an intensive due diligence, I would say, it's about 10 to 12 people at least. And of course, in parallel to that Yael, the CFO, which is on the call here, and you can ask your specifics, she is leading the financial due diligence and financial due diligence in all the acquisitions is led by KPMG [ph] as an outside agency and KPMG, both Europe and United States, as it relates to wherever we do the acquisition. And in parallel, we have, of course, the offer that's involved in helping us in the legal due diligence plus we have investment bankers, both one in Europe and by now close to two in the United States. They have involved in the analysis, financial analysis, comparative analysis of valuation. And all this is run by me as leading the team and involved in decision-making. And when this team has a recommendation and goes to the Board and recommend, then the Board looks at it. And the Board makes a decision, if it's worthwhile or not. And it does acquisition orders.
Brett Reiss: Right. That sounds like a good team. So thank you for the color and answering my questions.
Yoav Stern: You're welcome. Thank you for the question.
Operator: Thank you. The next question is from Jesse [indiscernible]. Please go ahead.
Unidentified Analyst: Yes, Mr. Stern, quick question. In the event you all do decide to buyback shares, is there any like securities, obligation or plan that communicates any of that activity back to the general public or shareholders, or is there no obligation to do that?
Yoav Stern: There's no obligation to do that.
Unidentified Analyst: Okay. So at any point, we'll just kind of not be aware of that then in…
Yoav Stern: If the claim of some people is right that buyback of shares is closing the share price to go up then theoretically, you'll see the share price going up, all of us will see. If it doesn't cause the share to go up then you wouldn't see it.
Unidentified Analyst: Okay. Thank you.
Yoav Stern: Now of course, eventually, when we report our quarterly reporting and annual report, if we purchase shares then you end up having less shares outstanding by definition because the shares are purchased by the company.
Unidentified Analyst: Excellent. I appreciate that
Yoav Stern: Thank you.
Operator: The next question is from Bob Downer [ph]. Please go ahead.
Unidentified Analyst: Good morning, Mr. Stern.
Yoav Stern: Good morning.
Unidentified Analyst: I've been an investor with NNDM stock ever since, Kenny Woods are mentioned your company, maybe 2.5 years ago. I've enjoyed your conferences, conference calls or stuff and my background is I watch my bad fixed TVs when I was a kid, printed circuit boards. I'm familiar with that. But the technology sounds really good. I'll invest in it. So my point being right now, I'm having a little bit of a vision problem – my -- calling a cloud division of what NNDM is all about. Would you consider your DragonFly 3D Printer, your flagship product still, or what is the vision for your company in terms of products? Thanks.
Yoav Stern: Okay. Thank you. Thank you for your question. I'll take you back to the opening statement and what I said. You're absolutely right. The company started in LDM manufacturing electronics at the time DragonFly was – or DragonFly LDM. By now, we developed that area and that section to the product called DragonFly IV. So there's a lot of investment there. And yes, this is a disruptive technology with the core of the company's investment and the only investment in R&D when I joined the company. Since then, we continue that investment because we believe this is an amazing promising future. But since we found -- we developed two things -- two thoughts and or two directions: A, the -- it will take time, and I talked about it in the past, until the technology matures, and I believe that the next product coming up after the DragonFly IV, which I've mentioned before, still in the same direction in electronics is going to be miles ahead. It will take time until the industry will adjust its specs until materials will reach the point. So, as we develop this and will not give up on the investment, we found out and after research that we sell to five, six verticals and the a lot of synergies by selling to these verticals, additional additive manufacturing technologies, and we purchased this additional manufacturing -- additive manufacturing technologies by partisan [ph] companies that already have technologies in that field and by now, we're having not only the machines that print circuit boards or print 3-dimensional high-performance electronic devices. But we also have machines that are printing other products like micromechanical products like metal parts. And the reason why this fits well with the development -- the core development of the electronics is because, it is sold to very similar customers, so we can leverage and scale up our go-to-market, our sales organization and marketing, selling different kinds of machines with the same customer and the growth of our revenue in the last three years from $4 million to $40 million run rate in less than 24 months as a result of both the growth of the DragonFly IV revenue and the growth into other electronic and as manufacturing fields. So the summary of my answer to you, and it's released again what I said in the beginning is the reason why you may be confused, and I hope that this explains it is growth of the company will be -- is much faster and scalable by having more products and added manufacturing that can be leveraged by both our distribution channels and go-to-market and by applying our artificial intelligence and deep learning into other machines, as long as we keep the synergy that we sell to similar customers, which is mostly defense, aviation, aerospace, advanced medical, advanced industrial applications, academics, of course, and research institutions. So, that is the reason, you may be a little bit confused that it's not only the DragonFly IV show. It's much more than that by now.
Unidentified Analyst: Okay. Thank you, Mr. Stern. I just wanted to hear your discussion on that.
Yoav Stern: Thank you very much for your question. It's a very interesting one.
Operator: [Operator Instructions] The next question is from Joe Auditore [ph]. Joe, please go ahead.
Unidentified Analyst: It's Joe Auditore. I'm an evening stock. Mr. Stern. Anyway, I've spoken to you on every conference call. I'm actually pleased the way things are progressing. I wish you the progression will be greater, but things are moving forward. I also feel that, the Board and you felt that maybe let's wait to buyback share, because if share price may go down, we're in a recession of potentially we're in a recession and we're in a bad market. You can buy shares cheaper. That's not to be. What I don't understand, I get my head around, this is how we ended the quarter, the June quarter with $1.27 billion and our market cap is $750 million with no debt. It's crazy. I just don't understand. Could you give me an explanation for this? How could we be selling the $500 million below cash. When things are progressing, they may not be progressing we're not at $200 million in sales, but we're progressing. We're buying businesses – I just don’t understand it -- I don't understand it.
Yoav Stern: I think you're right. I'm puzzled by that. And obviously, I'm frustrated like you and like others that were on this call. But – if I would be waking up in the morning being busy with my frustration, then we won't be growing from $5 million to $50 million, which we did. But your question is very – and your frustration is totally understandable. And I tell you what my thought, and please don't take it and quote me telling you this is the case. But I want to share with you, because I feel close to you and to others that mentioned. My thoughts are the following. You're right. The market is behaving erratically. We're kind of a recession. The interest rates are going up. Catherine Wood, and ARK Investment are having issues being ETFs and they had to sell. So while she's still holding a lot of shares in ours, and I know exactly what it's not for me the quote, but she's a big shareholder. She had to unload not only ourselves, but other shares in high-tech and similar fields. So that affected the share price specifically of ours, but it's not only ours, all the shares in our, call it, arena, and I'm following daily share at least 13 publicly traded shares of additive manufacturing – additive manufacturing-related companies. And in the next show – in the next conference call, I will put the slide, which will show you the behaviors of all these 9 to 13 depends if you're taking the Europeans as well shares. And you will see that, it's almost like a club boat orange, they are moving up and down together and not talking only in the last eight months, in the last 24 months they're moving together. And – the differences between where the share goes up or down, we are so small, it causes to feel that there's synthetic algorithms that when the market is going down, or half or specific segment of the market, certain investors, obviously, not retailers, but more institutions, having outward selling all the shares in the surface segment down once the segment is showing signs that is going down. So having said all that, we all go – our shares go with the rest of the shares. And actually, in the last eight, nine months, we are doing better than all 11 of them, better. But not – a lot better. For me, better is great, but if it goes down from below cash value and where it is, it's not good enough for me. Now the only company, however, of these 13 companies that have traded below its cash value is us. And for me, it's an opportunity. Now there's two type of people that I'm facing over my life, as people that see a problem and the opportunity and the people that see opportunity and the problem. I see opportunity and the problem, so it will be better. Next question, please.
Operator: Okay. The next question, there is no more questions at this time. Mr. Stern, would you like to make your concluding statement.
Yoav Stern: I see two more questions coming up. David Shapiro wants to ask another question.
Operator: The next question is from David Shapiro [ph]. Please go ahead.
Unidentified Analyst: My question again. And that last question and your answer, I think, it's something all of us shareholders really want to focus in on. And I can tell you from my perspectives, and I'm going to come back to the buyback issue. There is one significant catalyst that you can offer for our company and for our shareholders, it is different than all of those other companies. And that is the cash that you've got, the ability that you've got to buyback shares and the fact that the Board has already approved that significant buyback. And insider buying would also make a big difference as well as analyst coverage and some of the other things that we discussed, but as we're on this call, the share price is actually dropping. And if you were to make an announcement in short order that you are going to use the resources to do a share buyback that would differentiate our company from all of those other companies.
Yoav Stern: Okay.
Unidentified Analyst: Okay. I would just again, encourage you to make your statement…
Yoav Stern: Thank you for your advice. Thank you very much. Okay. Next question.
Operator: The next question is from Devin Toral [ph]. Please go ahead.
Unidentified Analyst: Hi, Yoav. It's me again. I -- you just mentioned that you were uncertain of what the things were that were causing the share price to go down. I would just speak on -- I know a bunch of people invested in this company. And one of the main things that they say, I don't know if this will lend anything to it, is that you have been very, very straightforward on your calls, which I commend you for. But -- and also by doing that, the short – you would get on the calls and you would say, I will not do share buybacks. I will not do this, I will not do that, and it caused them to be able to just take advantage of this company. Speaking back on the share buyback thing, again, I agree with the previous caller not to tell you how to run the business, but there are a lot of biotechs that move the same and then one comes up with news or one is able to do a share buyback and it skyrockets them from the rest of the company. So it's just -- sometimes it feels as if from shareholders all the power is given to the shorts based on your words of things you will not do. So I would just kind of throw that out there as a recommendation for what paying IC with shareholders and why they are hesitant to keep buying in? Thank you.
Yoav Stern: Okay. I -- as you know, I think in the last call, I was asked two calls before, I was against the share buyback. And then I changed my mind, and I went through a process of three months of getting the share buyback approved, mostly because of the issues we had to go to the regulation with the cost, but we got it done. And I'm proud that I can change my mind. But we're not going to do the share buyback just because there's a conference call and we closing conference call, we're buying back. We're going to have a year now to decide when to do it and if to do it and at what pace, and this is different than half year ago when I felt that it's not justified to do it. And the Board will take it into consideration, including all variables involved, and we are hearing you. But the shorts and the shorts play, and it's part of the market and it's part of the game. And when you play the game, you have to play by it rules. So we announced the approval and we'll act accordingly as needed in the future. Next question please.
Unidentified Analyst: One more thing. With the stock price trading $500 million below cash on hand, what would signify an appropriate time to buy back shares if not now, I mean, it…?
Yoav Stern: For instance, if I'm approaching a certain other use of funds, and I decided -- the Board decides rather than Mayors, really the Board that the other user funds at this point, if it's substantial, is before we buy back shares, or if the Board decides the price to buy shares is this or different, or many other considerations as much as market considerations that I'm not an expert with. I'm an expert in other business. And that's the role of the Board and the Board, we have an excellent Board and the Board is doing it.
Unidentified Analyst: My only concern is the stock and the chart and everything has been defending for a long time. It finally started quelling. It finally started coming up, it's $500 million below cash on hand if any time to do a buyback to get momentum in this company and stock…
Yoav Stern: I understand. I hear you. I hear you, and I responded to you and told you that the Board is considering it, and it will make a decision in the next 12 months when and if it will be the right decision or the right judgment from them and it’s the right decision.
Unidentified Analyst: Thank you, Yoav.
Yoav Stern: Thank you.
End of Q&A:
Operator: There are no further questions at this time.
Yoav Stern: Okay.
Operator: Mr. Stern, would you like to make your concluding statement?
Yoav Stern: Sure. But I see another question, do you want to give -- okay, cancel. So everybody, thank you very much for your participation. Again, we hope to be speaking with you soon either on special events that are happening during the quarter or at the end of the quarter when we'll have the next quarterly reports. Thank you very much.
Operator: Thank you. This concludes the Nano Dimension 2022 second quarter financial results call. Thank you for your participation. You may go ahead and disconnect.